Naoki Muto: I am the CFO, Muto. I will now explain the first quarter results for the fiscal year ending March 2022. First, the highlights from the quarter. Sales revenue was our highest ever for a quarter. In particular, a notable recovery of demand appeared in the Cardiac and Vascular Company, which had been greatly impacted by COVID-19. In FX, the dollar and euro both had a positive effect for Terumo. Adjusted operating profit was also the highest ever for a quarter. Along with the recovery in sales, improvement in product mix also pushed profitability upward. Negative impacts, including production adjustment and national tenders in China had their expected effects but expenses rose only gradually due to COVID-19. Taking into account these first quarter results, we are revising upward our guidance for this fiscal year. I will explain that in detail later in this presentation. Next slide, please. Here are the P&L results for the first quarter. Sales revenue exceeded JPY 170 billion and adjusted operating profit reached JPY 40 billion. Sales and marketing activities and R&D remained somewhat impacted by COVID-19, so that expenses recovered more gradually than sales revenue. However, we expect expenses to recover from the second quarter onward. Next slide, please. Here is the adjusted operating profit variance analysis. This is a comparison to the same quarter of the previous fiscal year. Gross profit increment by sales increase was JPY 18.4 billion. I will share more on this point when explaining sales revenue results by company. Downward price pressures, such as the national tender in China, VBP and the reduction in gross profit due to production adjustment, all occurred as anticipated but were absorbed by the sales increase. SG&A increased compared to the COVID-19-impacted previous year, but the rate of increase was gradual. Other expenses, including those related to new European regulations and starting the new plasma collection business, also increased gradually as COVID-19 impact remained. FX impact was positive to the effect of JPY 2.8 billion. Next slide, please. Next is sales revenue by region. Europe, the United States and China saw a recovery, especially in the Cardiac and Vascular Company, as COVID-19 infection numbers decreased and even grew in double digits when compared with FY '19 before COVID-19. In contrast, Japan, Asian countries other than China and Latin America saw a slower recovery in their results. In Japan, in addition to the Cardiac and Vascular Company, the General Hospital Company was strong with 11% year-on-year growth and 7% growth compared to FY '19. With recovering non-COVID health care demand, the sales results of General Hospital Company products, including disposables and pharmaceuticals, recovered, while pumps, DM Healthcare and the Alliance business all grew steadily to show strong numbers as well. Within the Cardiac and Vascular Company, the Neurovascular business, in particular, grew significantly amid an overall COVID-19 recovery in Europe, showing that we are beginning to return to a growth pattern for results. The return to a growth pattern was pronounced in the United States with the TIS, CV, Neurovascular and Vascular businesses of the Cardiac and Vascular Company all showing strong growth. In the General Hospital Company, general hospital products grew, while the Blood and Cell Technologies Company saw growth in component collection products for both blood centers and hospitals. In China, the increase in health care demand is behind the introduction of a national tender system. With COVID-19 subsiding, this demand appeared fully, and the Cardiac and Vascular Company saw significant growth as a result. The only products that were made subject to the national tender system were PCI devices. However, distributors moved to purchase access products in anticipation of the increase in overall health care demand, leading to growth in other treatment products as well. It should be noted that we do see this as a temporary increase in demand. We will continue to monitor the market to understand by how many cases the demand has increased. Asian and other countries, including Korea, Singapore and Australia saw a similar recovery to that of the United States, while COVID-19 impact continued in such countries as Malaysia, Indonesia and Vietnam, causing the recovery to happen more slowly than other regions. Despite these impacts, we achieved positive first quarter growth compared to FY '19. Next slide, please. I will now explain results by company, starting with Cardiac and Vascular. In sales revenue, the TIS business benefited from the global recovery in cases to both absorb and far exceed impacts, including the China national tender system, to achieve double-digit growth in both sales and profit compared to the first quarter of FY '19. In Neurovascular, the number of cases of neurovascular treatment recovered especially strongly in Europe and the United States. This combined with the positive impact of new products and suction catheters to result in high double-digit percentage growth compared to the first quarter of FY '19. In CV, a recovery in surgical procedures combined with steady instrument demand to result in positive growth of over 10% compared to the first quarter of FY '19. Vascular saw further growth exceeding 30% due to recovering numbers of cases and the effect of new products. Stent graft sales were strong in Europe, North America and Japan. In profit, expenses remained controlled at a low level amid large sales revenue growth, resulting in 29% adjusted operating profit. Next slide, please. Next, the General Hospital Company. In Japan, which accounts for 70% of sales revenue, the company saw its results driven by COVID-19 recovery. In addition to continued strong performance by pumps, General Hospital products also included a recovery by infusion sets and other disposable products. Although the recovery of pharmaceuticals, including infusion solutions, is slower, pain management and anti-adhesion products returned to strong growth as the number of surgeries recovered. In DM, blood glucose self-measurement tips saw growth. And in health care, demand increased for blood pressure monitors as health care systems continue to be strengthened. In the Alliance business, steady and rapid growth continued as planned. In profit, factors including a more favorable mix in general hospital products and growth in the Alliance business contributed to gross margin improvement. In contrast to the growth in sales, expenses trended up more slowly. Next slide, please. Next is Blood and Cell Technologies Company. In sales revenue, blood center products such as Trima and therapeutic apheresis products, including Optia, grew in North America especially, to drive the company to double-digit growth. In addition, China and APAC drove growth across the entire company. Adjusted operating profit saw a gross margin contribution from sales growth, while promotional and development expenses grew more slowly to exceed 20% for the quarter. Next slide, please. Here are recent major topics. First, there is the great news that we were selected for 2 FTSE ESG investment indexes. In products, we are happy to report that the Dexcom G6 continuous glucose monitoring, CGM, product recently received regulatory approval. Next slide, please. As we have previously communicated, the FY '21 guidance we issued at the beginning of the period expressed a range indicating our lower limit expectation in which COVID-19 impact continued and our upper limit expectation in which recovery was comparatively faster. However, in response to the first quarter results and changes in the market, we are revising upward the upper limit of our range by JPY 5 billion. Based on this upward revision of sales revenue guidance, we are also revising upward our operating profit and adjusted operating profit by JPY 7 billion each to JPY 120 billion and JPY 137 billion, respectively. This amount consists of the positive FX impact, gross profit increment by sales increase and the slow pace of increase in expenses. With regard to expenses, we expect that the slow increase of the first quarter will not continue, but instead return to a normal proportion of sales revenue going forward. Next slide, please. Here is the breakdown by company. In Cardiac and Vascular, despite impact from the PCI product national tender pricing reduction in China, we anticipate demand recovery in markets, including the United States, leading to double-digit growth in TIS, neurovascular and vascular with expectations for neurovascular to approach 20% growth, and the company's sales revenue as a whole to grow 17%. In General Hospital, pain management is expected to become a sales revenue growth driver in addition to Alliance and DM. On the other hand, we expect that sales of commodities like general hospital products and pharmaceuticals will recover, and the Alliance business upfront investment burden will remain to a degree that maintains the profit level overall. In Blood and Cell Technologies, we anticipate that demand recovery in transfusions overall will combine with steady growth in therapeutic apheresis to increase sales revenue slightly and bring operating profit back to the strong level seen in FY '19. This concludes my overview of the earnings results. Thank you.
End of Q&A: